Thomas Kudsk: This is Thomas Kudsk Larsen with the IR team. Welcome to the Q2 2024 Conference Call for investors and analyst. As usual, you can find the slides on sanofi.com. Please turn to slide 3. Here we have the usual forward-looking statements. We'd like to remind you that the information presented in this call contains forward-looking statements, which is subject to substantial risks and uncertainties that may cause actual results to differ materially. We encourage you to read the disclaimer in our slide presentation. In addition, we refer you to the Form 20-F file with the US SEC on d’Enregistrement document for a description of these risk factors. As usual, we’ll be making comments on our performance using constant statements and other non-IFRS measures. Numbers used are in million euros and for Q2 2024 unless stated otherwise. Please turn to slide 4. First, we have a presentation then we take your questions. We have kept the presentation short as other companies report today and we aim at keeping the call to maximum one hour. For Q&A, we have Brian, Olivier, Thomas and Julie to cover the global business units and Roy, our General Counsel. For the Q&A, you have two options in Zoom, raise your hand or submit your questions using the Q&A function. And with this I’ll hand over to Paul.
Paul Hudson: Well, thank you, Thomas. So much better when you do the intro. Thank you and hello to everyone on the call. Our strong business momentum continued in the second quarter. We delivered double -digit sales growth at CER and we continue to execute on our former launches and we keep advancing our pipeline of new medicines. Our growth was driven by a strong quarter for Dupixent, seven years into its launch and the broad-based performance of our new medicines. Our vaccine sales were stable when excluding the effect of last year's COVID sales. The sales of Opella the new name of our consumer health care business grew by 10% with the U.S. Wellness brand Qunol as the main driver in the United States. Based on the robust growth we've seen in the first half, we are confident about the strong business outlook for the remainder of the year, and that's why we are upgrading our earnings per share guidance for 2024, and François will provide more details in a moment. Turning to slide 6, Dupixent reached a significant new milestone for the first time. Sales exceeded the EUR 3 billion mark in a single quarter. This new quarterly sales record highlights continued strong volume growth across approved indications, age groups, and of course, geographies. Dupixent’s growth of 29% in the quarter was fueled by its consistent and robust U.S. performance, giving the timing of July the 4th holiday week, we saw a slightly stronger volume trend at the end of June. The rapid expansion in key markets outside the U.S. such as Japan, China and Europe further boosted Q2 performance, growing at almost double the pace as the U.S. Looking ahead, we remain excited by the near -to -mid -term growth outlook for Dupixent, which bolstered by a series of upcoming regulatory catalysts inside and outside the US. We've recently obtained the EU approval for COPD. I'm looking forward to the US PDUFA for decision at the end of September, which is expected to be a significant driver for Dupixent’ continued expansion. Overall, we remain on track for our target of around EUR 13 billion in 2024, in line with our low double-digit compound annual growth rate goal set from 2023 to 2030. Now on slide 7, turning to our launches and how we bring innovation to patients, quarter after quarter, the growth of these new medicines increasingly contributes to our top-line growth. François will explain the key contribution of these successful launches to the accelerated business dynamics in a minute. Growth of Nexviazyme due to patients converting from legacy treatments in Pompe franchise remains a key driver. Most eligible patients in the US are now on the new standard of care with Nexviazyme, and patients continue to convert outside the US. ALTUVIIIO annualized its launch at the end of March. Growth rates remained very strong, with high sales predominantly in the US where it was driven by patient switches, of which an increasing majority came from medicines other than a Eloctate. Other medicines also did well in growth in absolute terms, including Sarclisa’s fast expansion in Europe and Japan. As expected, Beyfortus sales in Q2 were low due to vaccine seasonality. Looking ahead to the upcoming RSV season in the Northern Hemisphere, we remain excited by the opportunity for Beyfortus to advance towards all-inform protection and reach blockbuster status globally in 2024. As a world leader in flu vaccines, Sanofi has a pivotal role to play in bringing forward innovative solutions against this disease by addressing current challenges and building strategic partnerships. It may be announced a new partnership to combine Novavax's COVID-19 vaccine with our differentiated flu vaccines, with the goal to create a best-in-class combination. This new combination will include our flu vaccines that have proven efficacy in preventing flu infections and its severe consequences, such as pneumonia and hospitalizations, and of course has received an ACIP referential recommendation. We believe our truly differentiated combo vaccine will demonstrate favorable tolerability compared to current COVID-19 mRNA-based combination vaccine candidates, ultimately driving higher vaccine rates. To clarify, we believe that combination vaccines developed by competitors that would compromise tolerability or proven level of efficacy would damage vaccine confidence and further impact vaccination rates negatively. In addition, Sanofi will commercialize Novavax's COVID-19 vaccine from next year and book the sales. Thanks to our leading commercial capabilities, we hope to be able to further drive broader acceptance of COVID-19 immunization. Considering the recent public concern about H5N1 avian influenza, we take responsibility in pandemic preparedness with two pivotal programs. Our egg -based protein adjuvanted vaccine is set to begin a study in Q3 in collaboration with BARDA, and our mRNA pandemic flu program will enter clinical studies in the coming months. In summary, our commitment to innovation continues to drive our leadership in the flu vaccine market, ensuring we are prepared to meet current and future challenges. Well, let me conclude by highlighting a separate positive note relating to our ESG commitment. Time magazine recently ranked Sanofi as the world's seventh most sustainable company across industries and first in pharma. This ranking reflects the progress of our integrated ESG strategy, and thanks to our comprehensive carbon transition plan, we are now on track to meet carbon neutrality in 2023 in line with our science-based target initiative commitment. To achieve this target, we focus on key decarbonization levels presented on the slide. For Scopes 1 and 2, 43% reduction of our activities was already achieved and we are targeting 55% reduction by 2030. For Scope 3, 10% reduction was accomplished so far, we're aiming for 30% across our value check. With that, I hand over to François. I'll see you for.
François Roger : Thank you, Paul, good morning and good afternoon to all. Let me start with our sales development on slide 11. We have delivered robust results in the second quarter with 8% reported growth and even 10% at constant exchange rates. Our growth is broad-based across businesses and geographies and hyper inflationary countries add only a limited contribution to our growth. We are delivering quality growth as you can see on the right hand side. Our continued portfolio transformation is a key growth driver with strong performance from Dupixent and the ramp up of our newly launched medicines. Other products also had a significant contribution. Please turn to slide 12. Gross profit shot double-digit growth in line with our sales performance. Gross margin was slightly down due to unfavorable currency impact, Aubagio and COVID-19 revenue last year. At constant exchange rates, our gross margin has slightly increased, mainly driven by improved product mix. Total operating expenses were up by 5.2% as we invest in marketing and sales to support launches, and in R&D. R&D expenses grew double-digit when excluding the one-time EUR 200 million reimbursement from Sobi related to Aubagio. We are fully on track with the step-up of our R&D spend by approximately EUR 700 million this year, full on 2024 around EUR 7.4 billion. SG&A expenses grew substantially less than sales growth, generating a positive gross leverage impact on margin. Business operating income grew 8.3%, and business EPS growth was up by 4%, driven by higher BOI, partially offset by the higher tax rate of 21%, as well as increased finance costs from higher net debt. Please turn to slide 13. Based on our current performance in the first half of the year, on a strong business outlook for the remainder of the year, we upgrade our earnings per share guidance for 2024 to stable at constant exchange rates. Let me now give you a little bit more color on some key considerations for the balance of the year. On Beyfortus, we anticipate the first shipment in the Northern Hemisphere to take place in Q3. Regarding phasing, Q4 sales are likely to be higher than Q3 ones based on regulatory approval of the two additional filling lines expected in September. On Flu, we anticipate a phasing with approximately 70% of sales in Q3 and 30% in Q4. Total sales for Flu are expected to decline low single-digit versus last year due to unexpected softer vaccination rate. Other items are similar to what we shared with you last quarter. So overall, we are pleased with our Q2 commercial and financial performance, with sales growth of 10%, underlying improvement in gross margin, further cost discipline, and the continued modernization across the company. This positive momentum in Q2 and the positive outlook for the balance of the year leads us to upgrade our guidance. With that, I hand over to Houman for further positive news on the pipeline.
Houman Ashrafian : Thank you, François. Slide 15. We've achieved several milestones this quarter, showing our continuous pipeline progress. Dupixent for the treatment of COPD was approved last month in the EU, and this is the first Dupixent has been approved in the EU ahead of the US. Further, it is the only biologic medicine approved to treat COPD anywhere. Now, ALTUVIIIO is also approved in the EU under the name Altuvoct. We've received several accepted regulatory submissions, including priority reviews of Dupixent and CRS with MP and adolescents, and Sarclisa in newly diagnosed transplant in eligible multiple myeloma with US PDUFA's dates in H2. Additionally, Fitusiran, our RNA interference antithrombin for patients suffering from hemophilia A and B has been submitted in the US with a likely regulatory decision early next year. In support of our drive to become a tech-powered biopharma company, we formed a recent collaboration with Formation Bio and OpenAI to accelerate drug development, also supported by the collaboration with Belhara to advance the discovery and drugging of immunology targets, fitting perfectly with our Nurix Research Program STAT6, a key target in immunology. Completing our focus on rare diseases, we've recently announced a development and commercialization agreement outside the U.S. with Fulcrum for losmapimod, AMPK, a map kinase inhibitor, and facioscapulohumeral muscular dystrophy, a genetic neuromuscular disease characterized by progressive muscle weakness. This medicine is in phase 3 with an expected data readout by the partner at the end of the year. Moving forward with neurology, we have two recently announced. We have also recently announced our exclusive licensed right with a Vigil with one small-molecule phase 1 focusing on an area of huge unmet medical need, Alzheimer's disease. These recent activities are helping us to replenish our early stage projects to ensure the sustainability of our life. Next slide please. At the ATS meeting in May, we presented high-dose phase 2 data from the proof of concept withdrawal design study of rilzabrutinib, our advanced oral targeting both type 2 and non-type 2 inflammation in moderate to severe asthma. At week 12, treatment with high-dose rilzabrutinib resulted in a 36% relative risk reduction in the loss of asthma control events compared to placebo. This extended to 25% reduction observed in the low dose cohort. Additionally, we observed a rapid, nominally significant, and clinically meaningful improvement in asthma symptoms and quality of life with a well-tolerated safety profile. These positive results demonstrate the potential of rilzabrutinib as an add-on for uncontrolled asthma patients and are part of a broader set of studies to build on the positive phase 3 data in ITP for the regulatory submission expected later this year. Side 17, turning to oncology and the recent ASCO meeting, we presented our important phase 3 data from the immoral study in the newly diagnosed multiple myeloma transplant in allergy patients. The primary endpoint is met with a statistically significant reduction of 40% in disease progression or death for patients treated with Sarclisa-VRd versus VRd alone. Estimated 63.2% of patients had no PFS of over 60 months versus 45.2% for patients treated with VRd alone. This frontline use in transplant in allergy patients will form potentially the third indication of Sarclisa with expected regulatory decision by September 27th in the US. Several additional studies are currently ongoing to further extend indications to Sarclisa including the subcutaneous formulation. Slide 18. On my last slide, I would like to highlight the exciting upcoming news flow for the next 18 months in support of increased R&D productivity. We plan 12 phase 3 readouts, 13 submissions, nine regulatory decisions, and we look forward to keeping you updated on the progress. Before handing back to Paul, I'd like to extend my sincere thanks to every colleague in the R&D team for the work they do for patients. We've undergone changes over the past month. We're well on track with the pipeline of new opportunities as we chase the miracles of science to improve people's lives. With this I hand back over to Paul for Q&A.
Paul Hudson: Well thank you Houman and François. Well now the culture questions. As a reminder, we would like you to limit your questions to one or two each. Remember we're seeing many of you again early next week. You'll be notified when your line is open. You can ask the question at that time please make sure you unmute your microphone or option two submit your question by clicking the Q&A icon at the bottom of the screen. The question will be ready and read by our panelists. Now we'll take the first question. Thomas?
Operator: [Operator Instructions] So your first question would come from the line of Graham Parry. Graham?
Graham Parry : Great, thanks for taking my questions. So firstly on Beyfortus, so could you just confirm current guidance still only assumes the existing capacity and EUR 1 billion of sales with approval of expanded supply being upside to that and then can you clarify the scale of the expanded capacity? So I think you've talked about two lines adding to one so can we just assume that's a tripling and can we read that your phasing comment on Beyfortus so more in fourth quarter and third quarter to mean that you might not have the manufacturing approved by the beginning of the season in September. And then secondly on Opella, just wondered if you could update us to the timelines in which you expect to be able to clarify to the market the route of separation as the sale versus spin and perhaps just help us understand the factors that go into the decision between the two at this stage. Thank you.
Paul Hudson: Thank you. I think there's five questions there. Graham, thanks. I don't know what I need to do but anyway, Thomas over to you.
Thomas Triomphe: Thanks for the question, Graham. So a few elements to answer to your questions. First of all, we're confident Beyfortus will be a blockbuster in 2024. That's the guidance that we have provided and we fully aligned with that. You remember the different messages we had provided previously, the fact that in order to increase supply, we need, as you pointed out, we had two filling lines. We wanted to make sure that we were doing production at phase with our partner AstraZeneca and that we were submitting, of course, the regulatory applications for the regulatory bodies to approve those lines in due time. So we are exactly on track with this plan, i.e., we have done production at phase as expected, we have done PPQ batches and so validation batches, and we have submitted to the different regulatory body all the different regulatory applications for those lines. Now it's in the hand of the regulatory bodies for the exact timing of the approval, which will enable the overall shipment of doses. But we believe that there's all the reasons to be confident about the accelerated review process of those lines and about the fact that we'll be able to move forward for the supply for the 2024 RSV season. Now in terms of the indication we've provided on the split in quarters between Q3 and Q4, we have pointed out to the fact that we expect, again, within what we know today, to have Q4 sales above Q3 sales that's because here, while it's a seasonal product, there are some differences with flu, for example, where you have in flu vaccinations very early on in the season, and that's it. Here, for RSV, there's all the in-season born babies that are born in the month of October, November, December, January, February, and March, and that also accounts for a significant part of the demand. Therefore, with the information we have today, we believe it's reasonable to expect Q4 sales to be above Q3 sales. Overall, confidently moving towards the coming RSV season, and again, confirming the guidance that it will be at least above the status in 2024.
Paul Hudson: Thank you, Francois.
François Roger : Yes, Graham, on Opella, as far as the timing is concerned, we confirm what we had said before, which means we expect that transaction to take place at the earliest in the fourth quarter of 2024 could be potentially in the first quarter of 2025, but it would make a big difference. I do confirm as well that we are still in a very competitive process with basically three options. Two of them are public, either an IPO or a spin, and one of them is more a sale to a private party, so the game is still totally open, as we speak, with one objective, which is value creation for shareholders. Maybe to help you a little bit, the two main items that we are looking at is clearly the valuation, the value as of today, or whatever we could extract as value in the future as well, under different configuration, but it's very essentially a value story. We are taking into consideration, obviously, the execution risk, certainty of transaction versus uncertainty, that's part of what we are looking at. The good news I can share with you as well is that the process is anywhere between the different options very competitive, so which means that usually when you have a competitive process, you're in a better position to extract value, so we are very positive for what is the quality assets.
Paul Hudson: Okay, thank you. Next question.
Operator: Next questions come from the line of Shirley Chang from Barclays. Shirley?
Shirley Chang: Can you hear me? Thank you, Shirley Chang from Barclays asking questions for Emily Field. We have one question for flu vaccine. Can you please share with us the timeline for the COVID-19 and plus flu vaccine on the preparation with Novavax? In addition, how would you comment on the perspective of your vaccine over solo flu vaccine? Also notice you have a mRNA flu vaccine in phase 1. How would this candidate provide potential synergy or other impacts on your current product launch time? Thank you.
Paul Hudson: Thank you. Thomas?
Thomas Triomphe: Thank you very much Shirley. A few elements in your question. First point, I understood you were questioning on the partnership with Novavax and more specifically about the combination vaccines where we have, you understood very well, we really want to make sure that there is no compromise, neither on safety or efficacy, and we believe that a combination is only worth if you're at least as good or better than the best standalone products separately. That's exactly what we want to do with the combination vaccine. It's a bit too early to talk to you about specific timelines, that's why we have not shared anything about this, but it's probably not crazy to think that following this partnership we want to go fast and we intend to start clinical operations this year in 2024 on this combination vaccine. That's for the combination vaccine. Now you, I pointed to a couple of elements which are very important. First of all, you had the questions on mRNA flu project and you had a question about is it synergistic or not. So a few good points there on mRNA flu. You've seen in the pipeline appendix but we are moving our phase 1 mRNA flu from one product to another product very simply fully in line with what we discussed at the investors event last year. We are basically we were showing that the first generation of mRNA flu are not moving neither. Basically first generation mRNA flu is generating flu titers, flu antibodies, but their efficacy is not known and the level of safety is definitely not at the level of safety and to the remedy of the current standard of care in flu. So that's why we claimed at that time but we want to go to the next generation of RNA and that's exactly why we are doing this new contract. We wanted to go to the next stage of mRNA flu because if you're not improving standard of care there's no point moving further. And that's why we believe our approach to mRNA flu and our approach on combination vaccines is the right ones. Of course, you've seen the difference with some others, but there is a big compromise on tolerability and maybe efficacy. We don't think it's a winning recipe. Last but not least, you understood that putting all this together, we see a synergistic effect and not a cannibalization effect. We are leaders in flu today, we will be again leaders in flu tomorrow.
Paul Hudson: Thank you, Thomas. Next question.
Operator: So, your next question comes from the line of Seamus Fernandez, Guggenheim.
Seamus Fernandez: Thanks very much for the question. So I wanted to just drill into expectations for the COPD launch, hoping you could just provide us with a little bit of color on the trajectory of growth. We saw very strong growth from Dupixent in so many other launch categories, but this is a uniquely large one and just wanted to get some color there. And then just as a separate question, can you give us your thoughts on where you think the CD40 ligand has the most appropriate opportunity outside of multiple sclerosis? Thanks so much.
Paul Hudson: Okay. Brian, COPD.
Brian Foard: Well, thank you so much for the question, Seamus. We are really excited about the COPD launch. Obviously, we just remind everybody that we just received approval in Europe, first ever advanced therapy to be approved in COPD, third leading cause of death worldwide, really important moment for us in the company and certainly for patients. As it relates to the uptake, the good news is we're already in this particular physician population on a day-to-day basis for asthma. The good news is also this disease status we've highlighted is driven by underlying type 2 inflammation and that is also very similar to asthma. So the storyline is still very strong. The opportunity will be for us to find these patients and make sure that we get them into the treatment centers and make sure that we are able to get them introduced to therapy soon. But as we said, we think that most of the growth will hit us in 2025. We'll begin the launch this year and most of our growth will be in 2025.
Paul Hudson: Thank you. Houman, CD40 Ligand.
Houman Ashrafian: Yes, thank you for the question. Outside the multiple forms of multiple sclerosis where there's maybe relevant confidence around the use of this node, both in Type 1 diabetes and in transplant, stroke transplant rejection. It's the most obvious place where the biology direct.
Paul Hudson: Thank you. Next question.
Operator: The next question come from the line of Jo Walton with UBS.
Jo Walton: Thank you. If I can return briefly to Beyfortus, I think we can work out for ourselves the level of demand in the US and assuming that you have capacity, how you might deal with that. But can you give us a sense of where demand is building outside of the US? Will there be significant new countries that you can supply this year or will other major markets really come in next year? So it's really trying to get a sense of the US, x-US split. And on Fitusiran, which is now a filed asset, could you remind us where you think that's going to fit in for hemophilia space, please?
Paul Hudson: Okay, Jo, you loud and clear. Thomas, over to you on Beyfortus.
Thomas Triomphe: Yes, on the geographies, thanks for the question, Jo. You remember that last year, we were really focusing on three large countries, namely the US, Spain, and France. So those, of course, will remain in balance and will be moving forward. In addition to this, we will be opening this year a few countries, I'm not going to name them also. So I hope nobody will be pissed off if I forget a couple of them. But to tell you the key ones, we expect a few provinces in Italy to launch addition program. We expect Germany, you've seen the Stigler recommendation, to move forward on vaccination. We expect other European countries, such as Ireland, and Portugal, which have also provided some recommendation. So that gives you a bit of an example of how we will expand this year on.
Paul Hudson: And maybe I'll just add that Beyfortus is not the reason for the upgrade in guidance today, so that's a positive overall. I apologize for anybody offended by Thomas's language. Houman, over to you on Fitusiran.
Houman Ashrafian: Hi Jo, thank you for the comment on Fitusiran. Based on the mechanism of action, we believe that Fitusiran is applicable to all patients with hemophilia and will likely be used broadly. I'll come back to it in a nanosecond. The real issue is the major unmet medical need today is in a hemophilia B, especially with inhibitors, and I suspect that the immediate use of this medication will be in that group, but will certainly extend more broadly. It's important to remind everybody that this is a highly differentiated therapy with very clear data. The fact is that make this an important part of the landscape of the hemophilia treatment is that it's a low volume treatment with really tolerable profiles of injections 6 to 12 times a year compared to the manifold number of treatments for other treatment categories and importantly there's no cold chain and like antibodies this is very easy to provide worldwide. So in many ways this is a highly differentiated therapy and we are optimistic about it out.
Paul Hudson: Yes, thank you. It is -- it does have a great profile except that there'll be some tailoring, titrating not uncommon with this patient population but has a really great and compelling profile. Next question.
Operator: The next questions come from Tim Anderson with Wolfe.
Tim Anderson: Thank you just on tolebrutinib just update on timing and then really what the most likely base case expectations should be I guess if I could distill it down to a single question. Do you think tolebrutinib will be approvable in some form or another based on the upcoming readouts or could it be a total zero? Thank you.
Thomas Triomphe: Tim, thank you for the question. No update on the timings as we discussed late August early September this year consistent with what we've said. I'm mindful of course of our reporting obligations and we will be deeply conscious of how we provide the data flow at the top of mind just in terms of speculating on the outcomes of the trials of course I can't do that but I have to say we're optimistic about the path for those drugs and I would really point out simply that currently in multiple sclerosis there's huge unmet medical need and secondary a progress disease and phase 2, we had really interesting results so going forward we'll see the results very soon.
Paul Hudson: Yes, and I think we know that mechanistically the fact that we cross the blood-brain barrier in a kind of the meaningful way we'll find out when we get the results whether that is applicable to the readouts in the studies and we'll see when that differentiation holds. So we stay on the original timelines. Next question.
Operator: The next questions come from the line of Luisa Hector with Berenberg.
Luisa Hector: Hi there, thanks for taking my question. So on Dupixent and expansion into more indications. So first of all with CSU and doctors we speak to firstly absolutely love Dupixent and but they're also confident there is an effect in CSU. So I'm just wondering how we should think about study C, will it be sufficient for approval, what's the profile you're aiming for and how you put that in the context of the broader pipeline, rules of route and et cetera. And then perhaps just a comment on the UC phase 2, when should you have the induction data in-house?
Paul Hudson: Okay, thank you Luisa. Brian, Dupi indication expansion study C.
Brian Foard: Okay, I think Houman is going to talk a little bit about the profile potentially but just as you said and I love what you said, when you talk to patients how much they love Dupixent and physicians how much they love Dupixent, you're absolutely right. Dermatologists are excited about the potential expansion into CSU. We need the trial to read out positively and then we'll file for this. We by the way just to let you know our first launch in CSU is actually in Japan a little bit earlier this year and it's gone exceptionally well, still early days. But again, I think it further reinforces the profile that we bring to the dermatologist community who are treating multiple of these disease states that we have today. So again, we look forward for the data readout and bringing this to patients all around the world.
Houman Ashrafian: Yes, I mean Luisa, nice to see, voicing thank you for calling study C, molecule study A, we have high hopes for efficacy in patient processing.
Paul Hudson: Okay, good. Do you want to add?
Houman Ashrafian: Thanks for the question for that. As you will have seen as an example of the potency of the collaboration and what we bring to the table in collaborations. When Sanofi comes to the table in immunology, we have accelerated the study by three months. We finished early. We overperformed. We're optimistic about both this disease class and the differentiation of this TL1A, particularly based on its raw horsepower and potency, but also its ability to distinguish between DR3 and decoy 3 receptor, which makes this a highly unique version of the TL1A molecule. We anticipate results, I think has been described in Q4 of this year. And we're using this trial to both guide dosing, but also indication. And just to call it out, we've enjoyed the relationship with our partners, Teva. And from this point on, at the end of this result, we'll pick up the baton on the [inaudible].
Paul Hudson: Thank you. Next question.
Operator: The next questions come from the line of Florent Cespedes, Bernstein.
Florent Cespedes: Good afternoon, Florent Cespedes from Bernstein. Two quick questions. First, a follow-up on Beyfortus. If you have the approval of the two manufacturing lines later this year, could you tell us how do you see the capacity for 2025 will be twice the current level you have today? So some color on this front would be great. Second question for Houman, which are in view the most important phase 2 projects that will read out until the end of next year in your portfolio? It would be great to have this comment. Thanks.
Paul Hudson: Houman, Beyfortus.
Houman Ashrafian: Florent, so on this, we didn't give any specific number on capacity, but if we have the filling lines approved, which we will, I think we will be in a situation in 2025 to respond to the demand, so I don't see any supply issue there. Of course, I understand the short-term focus on supply from everyone very clearly, but of course you understand also that we need to build the demand over time. Registration is to be followed after by recommendation bodies, so in every country, new recommending bodies, we look at the file one after another, and I think we'll see a ramp up from there on, but capacity we should be good.
Paul Hudson: Thank you. And Houman, the question about which is your favorite child?
Houman Ashrafian: Thank you. Thank you for the question. I won't pick out my favorite child. I'll try and be brief and thoughtful about this answer, which is firstly, we've got a number of vaccine trials reading out. I don't want, as we go through this to forget those excellent vaccine trials that read out towards the end of the next year. In terms of classes, you'll know that we've got an excellent accompaniment to our ITP franchise with AIHA, warm autoimmune hemolytic anemia, with rilzabrutinib. That's an extremely exciting result. Luisa kindly referred to our TL1A product. I think that is going to be exciting for us both now and with Teva. And then going into the next year, the IRX4 that we've got in partnership, the oral small molecule TNF-R1 signaling inhibitor, which could be transformative. We await with great interest both in safety and efficacy. And finally, and not least, not forgetting our energy franchise, our alpha-1 antitrypsin fusion protein is going to be an impact. It's going to have an important milestone next year. I haven't missed any out on purpose. I just want to call out that all of our franchises, immunology, neuro, rare, and vaccine are firing on full thrusters.
Paul Hudson: Thank you. Next question.
Operator: The next question comes from David Risinger, Leerink.
David Risinger: Yes. Thanks very much. And congrats on the strong second quarter execution. So I have two questions, please. First, assuming itepekimab generates compelling results in phase 3 next year, could you please characterize the magnitude or multiple of its sales potential in COPD relative to Dupi in COPD? And second, could you also comment, Paul, on China's interest in Beyfortus and whether there's a potential path to launch in China late decade? Thank you.
Paul Hudson: Okay. Brian?
Brian Foard: Okay. So first and foremost, thank you so much for the question. In reference to COPD, as we have framed COPD before, there's about 2 million patients across the G7 really that suffer as we about this, kind of that high unmet go D, if you will, on this particular patient population, we're going to be bringing two therapies, at least to this particular patient population, Dupixent, as we said, which is very soon itepekimab is next. Itepekimab, as we've shared with you before, is largely non-type 2. We'll play in type 2 as well, but all previous smokers. So these two drugs are really going to nicely sit together. And I think as we've contextualized this before, roughly around EUR 5 billion in peak sales across the two assets.
Paul Hudson: Thank you very much. Thomas, China, Beyfortus?
Thomas Triomphe: China, Beyfortus, indeed, there is interest in China for Beyfortus. But let me maybe provide some light on this. As many MNC vaccines, here in this specific case of immunization, we expect Beyfortus will be a private out of pocket market. That's very important to have in mind, which means progressive ramp up. We're starting from a base in China, where the disease awareness is close to zero. We'll need the next couple of years to build that up. As you know very well, Beyfortus has been registered in China. So now we are in the phase of actually engaging with medical professionals, defining the pathway, moving forward, this is awareness. And then activating current for out-of-pocket marketing.
Paul Hudson: Thank you. And we were in China recently, and we set with senior officials, you can see the interest building significantly. So we look forward to opening that opportunity when it presents. So our next question.
Operator: The next questions come from Gary Steventon with BNP Paribas Exane.
Gary Steventon : Hi, can you hear me now? Perfect, thank you. First question is just on vaccines. You're reiterating the mid -single digit growth target and also the Beyfortus blockbuster ambition, but there is a more refined low-single digit decline for flu, which is probably a bit weaker. So the question is on kind of where the other moving parts in vaccines are which still support the mid-single digit outlook. Is that purely just greater confidence in passing the Beyfortus blockbuster target offsetting flu, or is there something else in the wider portfolio to think about? And then secondly, just on Dupixent, could you just talk to how the performance of the approved indications is trending and that relative contribution to the unchanged EUR 13 billion target for this year, and just whether there's any particular pockets of strength or weakness by indication relative to your expectations in that Dupixent number? Thank you.
Paul Hudson: Thank you, Gary. I think we sort of touched on the relative moving parts on flu and Beyfortus and accepted, but Tom, any additional color to add?
Thomas Triomphe: Yes, so Gary, I don't think there's any magic recipe in there, so blockbuster status for Beyfortus, low-single digit decline on flu, not driven to our own performance, which we expect will be strong, but not driven by the overall, I would say, market performance in terms of flu vaccination rate. We are at the end, getting soon at the end of the pre-booking season in North America, and we see a bit in time with last year, but the vaccination rate is probably on the soft side of things, which is why we've made that perspective. On the other parts of vaccines, it's well aligned with what we said before, some slight growth in our, I will say classical endemic products or boosters. And on the other end, on the basic hand, you know very well that while on the Bey perspective, we're doing well, vaccines in the US are not booked in our health performance. So while the product is doing well in the US, it does not come in the sales line, but more comes in being combined. So I would say expected for the other parts of the business.
Paul Hudson: Thank you. And you said yourself, but we will likely gain share in the flu market, even at the vaccine coverage rate is low.
Thomas Triomphe: That is the expectation.
Paul Hudson: Operationally, we're in good shape. Brian, performance of Dupixent in current approved indication.
Brian Foard: Yes, thank you so much for the question, Gary. First and foremost, I'd say it's heavily demand driven right now from a patient standpoint, we're in a great position where we're seeing expansion, not only in our core indications that we've been launched in, but also in those core indications across geographies everywhere as we've launched into those new indications around the world. So I'd say we're really benefiting again, as Paul outlined on the very first slide, that it is TRX demand is all about new patients on therapy, or patients staying on therapy across all of our indications and across all the geographies. And that puts us really in a good position again, to reconfirm as Paul said earlier, our guidance on depiction of around EUR 13 billion for this year, and which sets us up nicely for the guidance that we've given of double digit CAGR, low double digit CAGR rate through 2030.
Paul Hudson: Thank you. Next question, please.
Operator: The next questions come from Simon Baker with Redburn.
Unidentified Analyst : Hello, this is Shailey speaking on behalf of Simon Baker. And just two questions for myself. And one was about your appetite for Radiopharma. And if you had any changes in your approach, I would explain the better performs in the older broader portfolio. Thank you.
Paul Hudson: Okay, I missed the second question.
Unidentified Analyst : Sorry, if had any, have there been any changes in your approach that would explain the better performance in your slightly older portfolio?
Paul Hudson: Okay, thank you. On radio ligand therapy, Houman, if you want to make a quick comment.
Houman Ashrafian: We thank you for the question. The reason this, of course, is radio ligand therapy is at a recrudescence of interest. We remain watchful in this space and are thoughtful about making moves into truly differentiated therapies. But there is nothing that we currently have going on in our portfolio.
Paul Hudson: Thank you very much. And just to add to that we remain very committed to the core therapeutic areas. We've made tradeoffs to stay very focused. So a broad answer to a very specific question, we would have to feel there was something compelling to make us want to go outside of what we're doing, because we are really focused on the areas that we want to win and play. I think, Olivier, I don't know what prompts the question but I do know that you've been a radical modernization of the gem med business and has seen the benefits from that. Maybe you wanted to share a bit of your secret sauce.
Olivier Charmeil : Yes, so we are happy with the performance of the old portfolio, even if during the quarter we had some positive momentum on Lantus which is a windfall, which reflects the fact that we had a very low base in 2023 and of course also to the unavailability of one of our competitors. But stepping back, I think we pay, we benefit from the effort that we have been doing in bringing more focus and you know that the focus, we have brought it in terms of simplification of our portfolio. Back four years ago, we had close to 400 product families. Now we are on 100. We are benefiting also from the fact that we are simplifying our geographic footprint and deciding to go to a distributor model. And the last point is really about resource allocation where we have redirected our resources and some resources on the portfolios that can drive growth. So strong momentum, we move more and more in digital in order to make sure that we continue to take out some resources and to maximize the value of this business. So overall, a very good trend, very specific situation in the US, but we are overall very happy with the performance.
Paul Hudson: Yes, I got a compliment, Olivier and the team on this, because this reinvention and this modernization, the radical transformation is pretty extraordinary. And we did hold a capital market a few years ago and talk about our ambition and we declared that we wanted to try bottom the business out and start returning to growth in a more efficient way. We are not declaring victory, far from it. There is lots of puts and takes, but I would say the indications, the early indications are great. So thank you for the question. Okay, next question.
Operator: The next question comes from Ben Jackson with Jefferies.
Ben Jackson: Hi, thank you for the question. So firstly, on contracting for the Dupixent for 2025, are you able to give us any color on how the discussions with Fed have been going, considering the Part D redesign, but also the potential COPD indication by then? And then does the September approval versus the prior June expectation have any implications for inclusion and formulae for next year? And then secondly, if I may, we've obviously seen a quality to read out for a competitor to Beyfortus in the recent days. What gives you retained confidence in the differentiation of the asset and its commercial opportunity beyond perhaps just the compelling real world data that we've already seen? Thank you.
Paul Hudson: Okay, great. Thanks, Ben. Dupi, Brian.
Brian Foard: Yes, Ben, thank you so much for the question. So yes, obviously, we don't comment too much on how the negotiations are going with the payers, but we always kind of remind everybody that we've been in this position for quite some time. We've worked very closely with these external stakeholders to share our ambitions to take this into a whole host of diseases driven by underlying type 2 inflammation. And you can see, obviously, from the results, we've generated a very strong track record of the year. So we find ourselves in a very good position, I think, as we continue the negotiations for next year, and we do it each year. The second part of your question is, I think the best answer to that is, again, we reconfirmed our strong commitment to around EUR 13 billion for the year. So again, we're committed to have a strong COPD launch whenever it does come. But agnostic of that, we are committed to EUR 13 billion for this year.
Paul Hudson: And you may choose not to answer, but the pay negotiations around COPD for ‘25 are based on a PDUFA in September rather than June.
Brian Foard: Yes, it doesn't really necessarily affect it. As long as it's approved within this year, you're already negotiating for these indications within the next year.
Paul Hudson: Thank you. Thomas, RSV.
Thomas Triomphe: Yes. Ben indeed there has been some recent communication from competitive monopoly against RSV. A couple of points I'd like to say about this. First of all, as you noted I would, there was absolutely no data share, neither safety nor efficacy. So there's not much to say in details but I can tell you though is I can talk about our product and what it's doing very well. You've seen that we have a very strong pristine safety profile and you've seen that we've demonstrated efficacy not in one trial not in two trials but trials after trials in clinical studies and in [inaudible] evidence studies and I invite you to go back to the last ACIP publication in June where they were showing that actually the two effectiveness points against hospitalization were 91% and 98% as measured by the CDC network. So I think that the overall dataset that we will have been very significant. Now of course moving forward with if and when, we're going to see some data coming down the road from competitors. I think it's going to be interesting to look at what is the exact safety profile, because we're talking about the most fragile population of the universe. It's going to be also very interesting to see what is the exact efficacy data, especially when it comes to a specialization. And of course, we want to look at the duration of protection. On these terms, duration of protection, we're very confident about the Beyfortus profile. Why? Because we have seen from the previous studies from our competitors that the health life of Beyfortus is significantly higher and longer than the health life of the coming competitor. So delighted to have some competition if it helps to bring more and more awareness about the importance of on-infant protection. However, I think that there will be some difference between the products. And I do believe that the fact that we have done the formulation and the design of a product that gives the exact amount of quantity or the exact key to get the best protection is paramount to the success of Beyfortus.
Paul Hudson: Thank you. Next question. Maybe the last question. Two more. Okay.
Operator: The next questions come from Eric le Berrigaud with Stifel.
Eric Berrigaud: Yes. Thank you. Two short questions. First, on the order revenue line into the P&L. We've seen less dynamic this quarter, but don't want to read too much into a quarter. Is there any chance you can guide us towards how we should see other revenues moving towards the end of the year and maybe for the following years? And then second question on Sarclisa, as you're moving closer to the launch of a very significant indication. So far, the drug is only a EUR 1 billion in sales if we analyze where it is, but the in -roads indication is probably at least a couple of billion in potential. Could you maybe share the kind of costs and resources you're putting behind the upcoming launch and how you see competition versus Dara that should have CPU's data coming later. Third Q may be ready, but you're having a one year launch ahead of competition, and so how big could be that opportunity for the drug? Thank you.
Paul Hudson: Thank you. Thank you for two little questions. We'll start with François.
François Roger : Thank you, Eric. Thanks for asking the question. On order revenues, indeed, you're absolutely right. Difficult to read it by the quarter, and we had the weak revenue amount in the second quarter, but it doesn't mean much at the end. I can confirm that we expect for the full year 2024 to be around the same level as what we have experienced, at least as far as disposal is concerned than we had in the previous years, which is about EUR 0.5 billion of profit as a consequence of disposal. So same expectation this year in 2024 than what we have seen in the past.
Paul Hudson: And Houman, maybe you could keep up on Sarclisa and Brian finish.
Houman Ashrafian: Yes. Thank you for the question. We remain bullish on Sarclisa. Obviously, it's proven its case in transplant in eligible patients, but we're looking forward to seeing in the very short term the outcome in transplant eligible patients. This will give Sarclisa the broadest possible indication profile. The second point I'd like to talk about is the fact that the subcutaneous formulation study will come next year, which will provide much more opportunity and potential sales to Sarclisa in multiple combination indications going forward.
Paul Hudson: Thank you. Brian, do you want to add to the results?
Brian Foard: Yes, I think, well, first I'll start with the performance. So as you saw on the quarter, we saw a really strong performance again, and again, this is really important. It sets ourselves up nicely as we expand our indication. It sets ourselves up nicely because you talked about Dara there, but actually the class of CD38 is really the strongest class there and that class continues to grow and that's great. We talk about the pie growing bigger, but then what we've seen as our strong growth is because we continue to do very well and continue to take share in the areas where we've been approved. So as we look to this next expansion to first line therapy very soon. We're really excited about that and we're resourcing it appropriately to be able to take share and to be able to continue to grow this great asset for these patients with multiple myeloma so we're excited.
Paul Hudson: All right great thank you.
Operator: The last questions come from the line of Peter Verdult with Citi.
Peter Verdult: Sorry jumping from one conference call to the other. Can you hear me? Good stuff. One for Houman and one for Paul, please just to end the call. Just to follow up on tolebrutinib, just given the absence of randomized phase 2 data for an SPMS can you remind us why you are optimistic in this setting or is it just that it crosses the blood-brain barrier very well and is against placebo? And then Paul for you maybe I continue to at least swing the bat a little. Consensus has about 865 of earnings in for next year points to a very nice double-digit rebounding growth that for a stock trading on just 11 times. Now I realize this is not a forum or a guidance call for ‘25 but hopefully I can tempt you where you can't resist saying something or giving us a sense of your level of comfort where consensus sits. I know there are big swing factors, COPD, Beyfortus, GenMed but just wanted to kick the tide of you on where expectations sit for next year and the journey of growth for the remainder of the decade. Thank you.
Paul Hudson: Okay, well, I don't want to disappoint you as you jump between calls thinking you could get me to reveal something about ‘25. So François, do you want to start there?
François Roger : Yes, I can, Pete. As we said it's not the time to talk about 2025, let's learn 2024 to start with but as you can see, we are very positive about it but now I'm in a position to fully confirm the fact that we have a very positive, the same positive outlook for ‘25 that we had before and even I mean it's gives us the good performance that we had in H1 gives us a further comfort on our expectation for 2025. What you can see as well is 2024 is actually the evident that the rebound is happening earlier than we thought so and just to help you a bit as well in terms of building blocks for 2025, we do expect to have a solid top line growth again. We will have some positive development in terms of gross margin as a consequence of a positive mix. We do expect to be around flat in terms of R&D spend and with tight control of SG&A, so all of it is really giving us comfort on the outlook that we had provided before for 2025.
Paul Hudson: Thank you, François. Houman. We'll leave it to you to bring us home on tolebrutinib.
Houman Ashrafian: Yes, thanks for the question. The answer is pretty straightforward. I'd be a little more nuanced in so far as the pathophysiology of secondary progressive disease is clearly immunological in origin existing therapies albeit not well used are very focused on the immune response and remember we believe tolebrutinib differentiated not only through blood-brain barrier permeability but its effect on the profile of kinases it hits and importantly the potency on those kinases. So bottom line is we believe it's a great drug working on target in an appropriate indication
Paul Hudson: Okay, well, we'll get the data soon enough. We'll find out. Okay. Well, thanks for that last question, Pete, Our strong business momentum continued in the second quarter. We did have a double digit sales growth at CER. We continue to execute on our former launches. We kept advancing our pipeline new medicines. We've upgraded our 2024 EPS guidance. Thank you for connecting. We know it's a busy day for you We've tried to keep it short out of respect. We look forward to connecting with many of you on Monday and Tuesday of next week. Okay. Thank you.